Antoine Frérot: Thank you and good morning ladies and gentlemen and thank you for attending this conference call on Veolia's First Half 2021 Results. I am this morning with Estelle Brachlianoff, our COO; and Claude Laruelle our CFO. And during this presentation we will first give you an update on the progress of our acquisition of Suez Group and we will then give you the details of our first half results which are record results. Then of course, we will answer your questions. So I am starting on Slide 5, showing the main steps of our tender offer for Suez which is progressing on schedule. On May 14, the Board of Suez and Veolia reached a final agreement enabling the launch of a tender offer for the remaining 70% of Suez shares at €20.5 per share dividend included. On June 29, the Board of Suez formally approved our offer and recommended that their shareholders bring their shares. As you know for antitrust reasons, we cannot keep all of Suez's assets mostly in France. During our negotiation with the Board of Suez, we added some other international assets to the French ones, subject to antitrust approval. We have agreed on scope for this New Suez of about €7 billion revenue. Also on June 29, we received a binding offer of €10.4 billion of enterprise value for this New Suez from a consortium of investors composed of Meridiam GIP and la Caisse des Dépôts. With this operation, Veolia will add nearly €10 billion of international revenue to its current perimeter. On July 20, the French stock exchange regulator, AMF approved our tender offer which was then opened on July 29, that is today. Therefore, any Suez shareholder can now bring their shares to the offer and the tender offer will be closed after EU antitrust clearance. Our objective is to finalize both the tender offer and the directed share of New Suez by the end of the year. This operation comes at a time when environmental priorities have never been higher on the agenda of both our municipal and industrial clients. As we have already indicated, we will proceed to a rights issue of €2.5 billion to maintain our financial flexibility for the future growth of the combined group. Our objective is clearly to maintain a solid growth trajectory and to further develop the new deal. I now move to Slide 6. There are four main ways in which the acquisition of Suez will create revenue: through stronger growth, a greater ESG impact, higher value creation for shareholders and delivery of significant synergies that have already been identified. These four levers are explained in the next slides, but let me give you an overview. In terms of growth; first, the acquisition of Suez will create a group with €37 billion in revenue, a global leadership and worldwide reach, a unique service offering and set of know-hows and a larger client base making it the undisputed leader of the ecological transformation. This merger will enable us to grow faster in our priority segments but also in new businesses such as water reuse, recycling of waste flows or water management for individual clients. In terms of ESG impact now, the complementarity of our expertise and know-how will strengthen our ability to make a difference in tackling the main ecological challenges ahead. Moving towards the circular economy, protecting biodiversity or reducing climate impact. Our two groups are already leaders in sustainable development and the combination will make us even stronger. For shareholders now. The operation is highly value creating with the current EPS accretion of 10% in year one and 40% in 2024. Our dividend policy will be maintained with a payout of around 70%. This EPS accretion will of course come mainly from the synergies generated by the merger. I can confirm the objective of €500 million in four years which will come from sharing all best practices, continued operational efficiencies, volume internalization and leveraging of the group size in procurement. On Slide 7, you can see the growth impact of the merger with a photo of the new group based on 2019 pro forma figures. The new Veolia will be about 40% bigger with revenue of about €37 billion. All geographies will expand except for France, since we are mainly buying Suez international assets. France in the new group will now represent about 15%. Europe will remain unchanged at 35% growing at the same rate as the combined entity that is by close to 40%. And growth will be stronger than average in the two other segments Rest of the World at 43% and Global Businesses at 73%. On Slide 8 now. You all know how much time I have spent over the years on giving Veolia a purpose drafting it in 2018 presenting it at the AGM in 2019 and then rolling it out within the whole company. That is because I do not believe that the business can be sustainable unless there is a lasting balance between the interest of all its shareholders. This slide gives you a few examples of our capacity to positively impact our clients' activities and marginally shape a greener and more sustainable world. By combining the competencies and lines of business of Veolia and Suez, Veolia will move further ahead in terms of responsible sustainability leadership. Slide 9 gives you details on the key financials of the transaction, which as you can see are very favorable to Veolia shareholders, but also to Suez current shareholders. At €19.85 plus €0.65 of dividend paid by Suez on July 8, so a total price of €20.5 per share, we are making a very attractive offer to Suez shareholders. But as we will have to sell assets that we cannot retain for antitrust reasons worth €10.4 billion, Veolia will keep a very strong balance sheet with a leverage ratio at or below 3 times. It is this balance between purchase price and selling price of the different assets that makes the operation very positive for our shareholders with an EPS accretion of 10% in 2022 and 40% in 2024. And this balance also enables us to maintain a generous dividend policy with a payout ratio of 70% and a dividend growth in line with EPS. This is what I wanted to share with you regarding the acquisition of Suez. Everything is progressing on schedule. And now let me hand over to Estelle, our COO who will explain how we are preparing for the integration of Suez. The preparatory work is progressing very fast as you can see, so that we can be ready to implement the integration program at the very beginning of 2022, once we have obtained of course the EU antitrust clearance and close the tender offer. And I will then be back to tell you about the record first half 2021. With this, Estelle please.
Estelle Brachlianoff: Thank you, Antoine. We certainly are prepared to give great detail of various elements that will make the merger with Suez a success, starting with the synergies of course. From the start of the project, we have done a great deal of work centrally at Veolia to prepare synergies. This work has been accelerated since we signed the agreement with Suez. This top-down approach will be complemented very soon by bottom-up work. We will be in a position in the next few days to start sharing in great detail with the various BUs and function via detailed workshops. This method will ensure that we will finalize detailed targets with real buying from the managers who will be very soon in charge of delivering them. Overall, our goal is to have the maximum prepared in advance of the closing. On day one, each country will have a finalized and detailed synergy plan and be able to start implementation immediately or shortly after provided of course antitrust clearances have been granted. I'm now on Slide 11. And you can see our €500 million of synergies will come from different geographies and different categories. Just to give you some color about the work we are doing around those synergies and how varied they can be, I would identify four groups of countries from the highest level of cost synergies expected to the lowest. In the first category, we have countries such as Australia or the UK where Veolia and Suez have a strong presence in a common activity in this case solid waste. In those countries, we will derive synergies from very operational merger plans. Typically, we'll be talking about route optimization, fleet management or energy from waste availability and maintenance. On the other side of the spectrum, in some countries, we barely have a common presence and synergies will be minimal. A typical example would be Japan where Veolia is really strong and Suez barely present. You could find the opposite situation in Thailand. In between we have countries where both Veolia and Suez have a strong presence, but not in the same type of business such as Spain or Belgium. We nonetheless have some work to do in order to merge our country organization and build a common team with one Country Head, one CFO, one HR Director for all activities. Of course whatever the countries, some common synergies will be found in an increased spending base which allows us to target a high level of procurement savings. I'm now on page 12 and I would say a portion of the merger is of course not only a question of synergies and relates to many different work streams from people engagement and bonus schemes to IT system convergence just to name a few. As Antoine committed to back in September last year, we have started working with Heidrick Consulting to help us assess the talent within both Veolia and Suez in order to compose the new combined group leadership. This work is well underway and a very useful tool. I would say we are all very impatient to bring the two teams together in order to build the foundation for the new group combining Veolia and Suez with the aim of becoming the global champion for a critical transformation. The model I just described very briefly to you around synergies is really quite illustrative of our multi-local approach for operational issues combined with a central approach for key strategic teams as well as a strong central steering and governance for this merger. The best is probably to illustrate this method through graph and I'm on slide 13. You can see our various work streams to prepare for the merger. Each of these work stream represented by a box on this slide are the local or central has a clear leader in charge as well as a sponsor at ExCo level. Altogether, we already have around 200 managers involved directly in this merger plan, both locally and centrally. Although we are preparing intensively for the merger, our priority remains the existing business and delivering good results. I must say our very strong Q2 results, as Antoine has alluded to, are a testament to this. They will be the foundation on which we will build the global leader of ecological transformation.
Antoine Frérot: Thank you, Estelle. And now let's move to H1 2021 results and I am on slide 15. Veolia had a very, very good start of the year. Results are spectacular compared to 2020, but obviously, Q2 2020 was marked by weeks of lockdowns everywhere in the world and therefore, clients' activities were very much slowed down if not stopped altogether. H1 2021 results are nevertheless remarkable. Revenue is up by 11.2%, EBITDA by 31%, and current EBIT more than doubled. But for me the most significant success lies in the comparison between our 2021 and 2019 performance. I had announced at the beginning of the year that in 2021, we could beat the record 2019 results and this is indeed the case for all our indicators despite lower waste activity levels in some regions, much less and less. But though we are not yet back to 2019 volumes, results are much better. Versus 2019, revenue was up 4.6% at constant ForEx to €13.6 billion. EBITDA grew by 6.2% to almost €2.1 billion. Current EBIT increased by 7.8% to €901 million and current net income was up 49% to €516 million. Growth is clearly here and operating leverage is strong thanks to our strict operational cost management and optimized cost of financing. All of this has enabled us to register a very strong improvement in all our P&L statements and Claude will give you all the details in a few minutes. These results are the highest ever registered by Veolia in the first semester. They show adaptation capability of our group out of our business models, our great resilience of our capacity to optimize performance of our operation by generating savings and efficiencies. Just as we are about to acquire Suez, Veolia has never been in better shape. This excellent start of the year makes me very confident for the rest of the year and that is why we are raising our 2021 EBITDA guidance to €4.1 billion instead of €4 billion. I hand over again to Estelle, who will give you details on operational trends by business in the quarter. Estelle?
Estelle Brachlianoff: As Antoine, just emphasized on -- our results in the first half of the year are very strong at every level of release. These results are much better than 2020 with plus 11% in revenue and plus 31% in EBITDA compared to last year in H1. But also well ahead of pre-COVID 2019 results, which is an even stronger achievement. As you might remember after a big impact of COVID in our results in the spring 2020, we managed to get back to pre-COVID results as early as the second half of last year although, some revenue recovery were still missing. From the start of this year, we are seeing a rebound in revenue as well and an even stronger rebound in our results. This very strong performance is explained both by our strategic choices and positioning as well as continue deferred in cost-cutting and adaptation. In addition since the beginning of the year we've benefited from a partly this strong rebound in our waste activity with plus 15% revenue growth in H1 compared to last year driven from multi-continentally. Volumes almost back to normal. Recycling price at a very high level, together with the sustained growth in hazardous waste without forgetting continued price increase. Although, COVID is not fully over obviously, in particular with the third wave in Europe leading to lockdown or various restrictions. Both performances show Veolia is more than just resilient. We have adapted quickly and strongly and we are back to growth. To give you now a little more color on this very good set of figures, I thought I should try and explain what is the stake in our various businesses and I'm on Slide 17. You will see on the right-hand side that almost all our businesses have enjoyed growth in the first half of the year compared to 2019, which means we are better than pre-COVID levels of activity. The only exception lies in industrial side services, where we are unsurprisingly impacted by the production level of the strength of our customers hit themselves by scarcity. Starting with the business, which had been less impacted during COVID. Municipal water is back to normal volumes apart from in a few geographies, where tourists haven't come back yet fully. Our energy businesses, have benefited from favorable weather condition in the winter combined with high energy prices. The rebound of our waste activities is quite impressive as I just highlighted a minute ago. Our success story in profitable growth in liquid and hazardous waste is really continuing with 5% growth in the US despite the bad weather in the winter, 14% in Europe alongside an impressive 80% in China. All the figures I've just mentioned being compared to H1 2019 so pre-COVID. I am pleased to see we are on our way to hit the €3 billion turnover mark in this activity this year, fully in line with our global strategic targets. Being back to growth is illustrated as well on Slide 18, which lists some of other contracts we've won in the first half of the year. I am particularly happy that we managed to keep a good commercial momentum in our traditional municipal water activity both in France and in Japan with the first potable water concession won in Miyagi representing €800 million backlog. In water technologies as well, our order book is very good. The two recent successes we enjoyed in Louisiana and Australia with our full crystallizer technology HPD, demonstrates our real differentiation in this market. This year has also seen the launch of it's two innovative services in line with our ambition to become the leading provider of solution for ecological transformation both for municipalities and industries. In the Vendée region, we won the first significant water reuse project in France leveraging our Barrel technology, which clearly offers a scalable solution to water scarcity. Considering the weather events I am sure you will understand why this is a promising solution. On Slide 19 now. Back to growth for sure but we definitely kept our eyes on the ball of cost-cutting and efficiency as well. This is yet another quarter of delivering efficiency with €204 million achieved in H1 combining our annual efficiency plan with our specific COVID-related Recover and Adapt Plan, which means we are ahead of our annual targets. And let me give you an example with very good results this quarter in this category. It's non-revenue water chasing. We are referring here to water volumes, which are distributed through the network and don't generate revenue. This can happen typically for different reasons, either physical leakage in our network but also commercial leakage with consumers managing to avoid the meter. Digital tools and sensors combined with AI are able to identify suspicious consumption and spot precise locations where to take action. As you can imagine, cubic meters saved translate into extra revenue without major extra costs, therefore going almost directly down to the bottom line.
Antoine Frérot: Thank you, Estelle. On Page 20, you can see the detailed 2021 objectives for Veolia on a stand-alone basis of course. That is before combining with Suez. In detail, 2021 revenue is expected above 2019. EBITDA is now expected above €4.1 billion, meaning growth of more than 12% versus last year. We will generate more than €350 million of efficiency gains, as Estelle explained just now. And in terms of balance sheet, we target a net financial debt below €12 billion and a leverage ratio below three times before merging with Suez. In terms of dividend, we clearly intend to recover our pre-sanitary crisis dividend policy as soon as 2021. And I now hand over to Claude, who will detail H1 accounts and we will then take your questions. Claude, the floor is yours.
Claude Laruelle: Thank you, Antoine, and good morning, ladies and gentlemen. I'm very pleased to present the H1 figures that show outstanding results, record profitability and record free cash flow generation. As you can see on Slide 22, revenue grew by 4.6% in H1, compared to the same period in 2019 at constant forex, which is remarkable and by 11.2%, compared to last year, of course marked by the lockdowns in Q2. Thanks to a strong operating leverage with amplified cost-cutting, better waste volume than Q1 this year and good recycled prices, EBITDA is well above €2billion at €2.81 billion and grew by 6.2%, compared to 2019 at constant forex and by 31.4%, compared with last year with a full recovery in Q2 in almost all our activities, as Estelle described earlier. Current EBIT has more than doubled compared to last year to €901 million and is up plus 7.8%, compared to H1 2019. Current net income has reached a record level of €516 million and is up 49%, compared to 2019. Thanks to a strong and continuous focus on cash management and lower CapEx spending our free cash flow generation is excellent in H1 and positive for the first time at €270 million and has improved by €785 million compared to last year, leading to a net financial debt at €13.8 billion after the payment of our dividend and the acquisition of OSIS. We'll see later in the presentation that our debt is well under control. Moving to Slide 23. We have a look at the Q2 performance by geography and let's focus on the Q2 2021 column. You can first notice, the strong group revenue recovery with plus 19.7% in Q2, leading to a plus 11.2% for H1. If you compare these figures with 2019, you get plus 6.5% in Q2, which is remarkable and shows the dynamism of our activities with the equivalent of two years of growth. Let's have a look at the different segments. First, France, plus 23.5% in Q2, with a resilient Water France with better volumes and tariff increases. And recovery in work associated with our contracts. And a sharp recovery of Waste France plus 37.7%, due to better volume than Q1 price increases and sharp level of recycling prices. We'll see later in the presentation that its performance is very strong. Second, with the outstanding growth for the second quarter in a row in the Rest of Europe plus 20.9% with very strong growth in energy in Central Europe and the good resilience of our waste activities in Germany. Third, overall the Rest of the World segment, which is still more contracted with plus 7.7%. North America recovering well, plus 7.2%; and LatAm plus 26.9%; and Asia flat due to disposal in China and Singapore. And fourth, Global Businesses, plus 35.7% at constant scope. That continued to perform in line with previous quarters with very good momentum in hazardous waste. Good contribution from our construction activities in line with the industrial recovery in many countries. EBITDA in Q2 is up 58.8%, compared to last year. Moving to slide 24, you have the usual revenue bridge comparing H1 2021 with H1 2020. Despite the slight negative effect from forex due to weak currencies in the Americas. All the other blocks are contributing to the sharp rebound by 11.4%, driven first by volumes, plus 6.1% due to much better commercial and industrial waste volumes despite wave three of COVID in Europe and solid commercial momentum for our construction activities. The second main effect plus 2.2% is coming from energy prices that have increased a lot this year. And of course from the recycled prices of €206 million that continue to be at a very good level for all sorts of materials in line with the commodity prices. As we have also told you for quite a longtime, we have continued to increase our prices, notably in our Waste segment contributing €167 million in H1, or plus 1.3%. Moving to slide 25, we have more granularities in our rate recovery. Let's detail the Q2 column, where you can see strong contribution first from volume rebound plus 14.5% despite some lighter lockdown in Europe and Australia. All our main countries are contributing to the strong volume rebound in Q2, for example, France plus 18.6%, Northern Europe, Germany plus 6.8% or UK, plus 16.8%. Second, the solid pricing contribution plus 3.7% in Q2 with Waste France and Hazardous Waste Europe leading the effort in line with our policy to gradually increase our pricing especially for C&I, collection and treatment. Third, recycled plus 5.7% are contributing in all segments and geographies and continue to keep a high level pretty much comparable with Q1. The acceleration between Q1 and Q2 is coming from low level of recycled in Q2 2020, during the lockdown. On slide 26, you have more details about the EBITDA evolution between H1 2020 and H1 2021, with a full operating leverage recovery. What do we see as main contributors? First, the massive volume recovery impact for €272 million or 17% increase, despite diminishing volume in our waste activities. Second, the strong cost-cutting effect of €204 million detailed by Estelle, resulting from ambitious cost-cutting plan of €250 million for 2020, that is very well advanced and highly contributive. If you add the negative impact of the cost of inflation for minus €190 million and the cost-cutting effects of plus €204 million you get a net 5.4% impact on EBITDA for those two factors which is by itself remarkable. In fact due to a very cautious management of our operating costs we are exiting the sanitary crisis with a lower fixed cost base. You can also notice the favorable impact of the recent acquisition in Central Europe and the positive impact of recycled for €36 million. Moving to slide 27, let's review now our activities by geography. And we start as usual by France. France -- Water France revenue in H1, as you can see is strongly up plus 6.5% and almost flat compared to 2019 with price increases of 0.7%, works recovery more than offsetting the end of the Toulouse wastewater contract that we experienced in 2019. Waste in France experienced a very sharp rebound in H1, plus 23.5% compared to last year and even plus 6.9%, compared to H1 2019, in line with Q1 which remains in effect. Volume, still impacted by lockdown measures but overall up plus 9.5%, compared to last year. Continuous price increases in commercial and industrial collection and treatment and sharp increase of recycled prices especially in non-ferrous metal and cardboard. EBITDA of France is sharply up in line with the resilience in the water activities and the jump in the Waste business. Moving to slide 28, let's have a look at our activities in the Rest of Europe. Starting by Central Europe, our revenue increased by 25.6% compared to last year, mainly driven by a very strong contribution of our energy district heating business, linked with energy price increase heat tariffs up and the integration of the assets we bought last year in Prague and Budapest which are performing very well. U.K. revenue increased by 6.6%, showing a strong reverse trend after a decrease in Q1, due to much better C&I waste volume after the lift of the lockdown. Thanks to the very solid PFI business model, strong availability at 93.1% and good cost control, U.K. financial performance has recovered very well. Germany also experienced excellent results, despite lockdown measure, thanks to restructuring and recycled prices. EBITDA performance of the Rest of Europe is very, very strong, plus 35.7% compared to 2020 with a good operating leverage and an outstanding contribution from Central Europe. Moving to slide 29. We have seen a recovery in almost all regions in our Rest of the World segment and a good operating leverage. Let's start by Asia and focus on China. Chinese activities are up 5.6%, taking into consideration disposal of solid waste assets in Q2 last year. Our hazardous waste business in this country continues to grow very well, with volume up 35% compared to last year, boosted by new sites under operation. India is also growing fast, plus 74%, with new investment in hazardous waste coming online. Latin America continues to grow at a strong pace, despite the new wave of COVID, which is better handled in many countries. As we told you, North America refineries are running at a higher capacity in Q2 and full capacity, as we speak. And the industry is recovering well. Our North America operations are growing by 2.2%. We continued strong performance of our municipal water activities. Australia, despite good weather conditions experienced some remaining COVID impact and has not yet fully recovered its nominal commercial and industrial waste volumes. It is also marked by disposal in the Energy business line. EBITDA of the segment is sharply up, 18.4% compared to 2020, with a strong contribution from the high-margin business. The comparison with 2019, of course, is strongly impacted by the disposal of our district heating business in the U.S. at the end of 2019. On slide 30, you have the details of our Global business activity. Water technologies continued to perform well, with revenue up 14.1%, benefiting from a lower level of activity in 2020 and the transformation initiated a couple of years ago, focusing on technology and higher-margin business. We have booked significant projects for the offshore oil and gas industry and for the chemical industry in the U.S. with our specialized subsidiaries. Networks activities have fully recovered at constant scope after the disposal of our telecom activities in November last year. Hazardous waste is recovering very, very well in Q2, with price increases and better volumes and record profitability. EBITDA of the segment is also strongly up, in line with better revenue and efficiency measures. On slide 31, let's understand how the 31% EBITDA increase is doubling our current EBIT at €901 million. Renewal expense and G&A are very stable, if you compare to the previous years. On provisions and fair value adjustments, we are benefiting from a few industrial capital gains on asset disposal in Scandinavia and also lower insurance provision, as we had to take strong provision for insurance over the last few years. Our JVs have performed much better this year than 2020 and the impact compared to 2019 is mostly coming from the Shenzhen concession disposal. As a result, Current EBIT is at a record high level and is growing by 7.8% compared to 2019. Moving to slide 32. Let's have a look at our record current net income of €516 million, almost plus 50% compared to 2019. The cost of net financial debt is a record low level at minus €152 million, due to lower interest rates, in line with Q1 and also a €20 million positive one-off in Q2. Our Euro bond borrowing rate continued to decrease and is now below 2%. You can notice the impact of the Suez dividend for €122 million, voted on June 30 and paid on July 8. It will be of course in our Q3 free cash flow. Our income tax rate is at 25%, in line with our expectations for 2021. On slide 33, you have the details of our non-current items, mostly due to the Suez operation, for €63 million and the bridge loan cost for the tender offer for €25 million and also specific COVID cost of €31 million in line with 2020. The level of the net income group share is €301 million for H1. Moving to slide 34. As I told you, we have generated an outstanding free cash flow in H1, plus €270 million, thanks to EBITDA growth, good CapEx management, especially on maintenance CapEx at €366 million and very strict cash discipline in all our countries, with a strict monitoring at my level. Accounts receivable management is evolving all our operation manager. And new tools like Sidetrade, with whom we have a global agreement, is implemented in various countries. I have to say that I'm very proud of the strong achievement with continuous messaging on cash evolvements at all levels of organization. Looking at the debt level, we can compare June 2021 after our investment in Central Europe with June 2019, before the disposal of the district heating business in the US. Thanks to our strong cash management and discounting the €1.4 billion for Suez group acquisition, our net debt is slightly below 2019 €12.3 billion this year compared to €12.4 billion two years ago with the group producing more revenue, more EBITDA and more EBIT. On slide 35, you can see the details of the debt valuation since the beginning of the year with a net CapEx booked at €834 million and the working capital valuation sharply reduced at €281 million, thanks to strong collection in most of our geographies, including Latin America and Africa Middle East. On slide 36. After this record high H1 results and its outstanding financial performance, I can fully confirm our strong confidence in 2021 and also fully confirm our guidance for the year with an EBITDA now expected above €4.1 billion. Thank you for your attention.
Antoine Frérot: Thank you, Claude. And now, we are ready with Estelle and Claude, to answer your questions, ladies and gentlemen.
Operator: Thank you. [Operator Instructions] We have the first question from Andrew Fisher from Berenberg. Sir, please go ahead.
Andrew Fisher: Sorry, I was on mute. Good morning, everyone. Thank you for taking my question. Congratulations on a really good set of figures. Just had one question on the working capital seasonal variation reduction to start with please. Obviously, it's a dramatic improvement. Could you just, sorry, just reiterate sort of how sustainable do you think that is going to be in future years? What should we be thinking about sort of in terms of full year working capital performance please?
Antoine Frérot: Claude is so proud of his performance that he will answer your question.
Claude Laruelle: Yes. Thank you, Andrew for your question. So, you have seen that we have made a great progress. And it's first a massive effort on collection. And we know that we have done a lot this year. We had done also a lot last year. And as I told you, we are implementing new tools, new tools like Sidetrade. What is Sidetrade? It's a tool that is implemented as part of the ERP in our systems and that will enable to improve dramatically the collection on a daily basis for BUs. So with these new tools, we are sure that we will continue to improve the collection of Veolia. It will not change massively some variation that we have along the year, but the collection for sure will improve.
Andrew Fisher: Great. Okay. Thank you.
Operator: Thank you. We have no more question for the moment. [Operator Instructions] Next question from Philippe Ourpatian from ODDO BHF. Sir, please go ahead.
Philippe Ourpatian: Yes. Good morning to all of you. Just one simple question, which is more a follow-up. Looking the very amazing results you disclosed for the first half, could you just update us if you have some view and figures about the July activity? Mainly, I would say regarding water, because we have some difficulties to have a clear view about the tourism in France. In some areas, there is some new restriction. In some other, people are on the beach. And I do think that the water consumption is good. Could you have just some prefigure to reassure us about the fact that the first one will not be on the bracket non-resilient versus the end of the year, even if your level of confidence is quite high as you have upgraded your guidance? Many thanks.
Antoine Frérot: You know Mr. Ourpatian, the French people with the habit of beaches are on the cities. And also we keep them as clients at the front of the cities as well as on the tourist places. So, Claude, do we have some any indication?
Claude Laruelle: No, we don't have any clear indication about July. What we see is the June trend was good. So, the June trend was above last year. So...
Antoine Frérot: Despite the... 
Claude Laruelle: Despite the bad weather and no tourism, so we don't expect any issue on the water resilience. Water France will continue to be very resilient as it was over the last couple of years. So, it's really -- we are very confident that Water France results will be very good at year-end.
Antoine Frérot: And not only in France, but also elsewhere – and for example in Central Europe.
Philippe Ourpatian: May I ask an additional question? Yesterday in the disclosure of Suez concerning the information – informative document for the merger they mentioned that they will give some breakdown of the activity concerning the New Suez somewhere around the 6th of August. Could you just update us about what's going to be your own diary concerning the publication about the figure you are going to integrate on top of the revenues based I would say not on, specifically 2019, but maybe on 2021 in order to help us to let's say generate good and fair model with the combined entity?
Claude Laruelle: Yeah. So we will have at the end of August, an updated documentation of our annual documentation that will be filed. And the final one will be mid-September. So you will have more visibility on those numbers and the details at the end of August, Philippe.
Antoine Frérot: Yes, but about 2020 or 2021?
Claude Laruelle: We will have a 2020 full year and we will have KPIs regarding the first half of 2021.
Philippe Ourpatian: Very helpful. 
Antoine Frérot: You would imagine that, we of course enjoy our ordinary results, but we also enjoy the good result of Suez presented yesterday, because we will add to the Veolia 50% of these results at the end of the year.
Philippe Ourpatian: Many thanks.
Operator: Thank you. We have a new question from Andrew Fisher. Sir, please go ahead.
Andrew Fisher: Okay. Thank you. Yeah just two other questions, please. Just one on cost-cutting. Obviously, the performance there continues to be incredibly strong. I was just wondering if you could just perhaps give us a little bit more color on the new initiatives that you found, if there are sort of new areas of cost-cutting opportunity. And then on the just general level of or pickup in demand that you're seeing for water and waste and energy services could you please just give us an indication of any particular sectors where you're seeing real strength? Just trying to get an idea about whether there's a sort of a sustained acceleration in terms of sanitation demand from any particular industrial groups please?
Estelle Brachlianoff: Yes. Thank you. So around the cost-cutting, you're right we are very pleased to see that we are basically going on with sustained cost-cutting plan around €250 million a year plus the top-up of the Recover and Adapt Plan, which was made on purpose for the COVID on-top. And there is no reason why we couldn't keep that pace of €250 million a year going forward. And of course, we'll have on top of that, the synergies with the merger together with Suez. How do we do that? Various initiatives, I guess, bottom-up and top-down. We are finding every single piece of savings and cost-cutting we can on every single operation and plant in Veolia. And as you know, we have many. So we have around 2,500 main plants be the wastewater treatment plant or energy from waste or cogeneration unit's big large core generation units. And in each and single of them, we have specific cost-cutting or efficiency plans be there to reduce the consumption of re-actives be there to reduce the consumption of energy for instance in wastewater treatment plant, which you know is consuming lots of power. But with good initiatives such as putting an chasing on top, we can manage that's an example, to have them to be energy self-sufficient and to produce as much energy as they consume. That's a big saving, and of course a big improvement for CO2 footprint. So many initiatives from the bottom-up of the organization and of course the top-down ones such as digital which are transversal throughout the organization or maintenance and maintenance optimization. So it's really a bottom-up and top-down approach, which makes us so strong and so confident. We will be able to derive those type of figures going forward. In terms of your second question, do we think this growth on the platform services is going further? Yes, very much so. And I would say in some sectors, it's even increasing. Let me mention, two type of services, where you see even an increase at site for them. One is everything to do with the specific exceptional weather events. You've seen – we've seen in this year incredible – like a winter event in Texas. We've seen fires and floodings. And of course, we have some services to be able to offer specific, I would say, protection but you know amendment to this addition to this weather event consequent for our customers. As mentioned, the water scarcity and the reuse of water as one solution. And we can see a lot more appetite than even a few years ago for those type of services. Another of those will be energy efficiency, because energy efficiency for building which you know is quite an important business in Europe, in the US for us. Each time we help our customers reduce their energy consumption, it's of course savings for them, but it's CO2 reduced as well. And with the world as it goes and global warming being more and more a concern for our customers, I guess, this type of solution is even more asked by our customers than a few years ago. I guess, on this type of activity a typical business unit will be on a 10% year-on-year organic growth something like that. And I don't see any reason why it couldn't even increase in the next few years.
Andrew Fisher: Great. Thank you very much.
Antoine Frérot: Are there other questions?
Operator: We have no more questions for the moment. [Operator Instructions] Thank you. No more question by phone.
Antoine Frérot: So if there are no more questions, I just want to thank you for attending this conference call. I wish you a very good day and perhaps also good holidays. Thank you very much. Bye-bye.